Sven Chetkovich: Hello, and welcome to the presentation of Mycronic's Q4 report. My name is Sven Chetkovich. I'm the Director, Investor Relations at Mycronic. And with me today, I have Mycronic's CEO, Anders Lindqvist; and CFO, Pierre Brorsson, who will be presenting today. And with that, I hand over to Anders. Please go ahead and present Mycronic's Q4 report.
Anders Lindqvist: Thank you very much, Sven. And this is what we'll talk about today. No change from before. So about the quarter, of course, go deeper within the different divisions. Pierre will talk more about the financials, a few words on sustainability, and then we have a question-and-answer session at the end of the presentation. And as usual, there is a market update in the material that will be posted on our website, which we will not present, but it could be interesting reading. So starting with a short summary of the last quarter of last year. So we had a decline of order intake with 19% to a level just below SEK 2 billion, which is a good level. It's on our annual average, but compared to a very strong quarter in 2024, it was nevertheless a decline of 19%, very much explained by the less -- lower order intake in Pattern Generators. Also worth to note is that currency makes a lot of impact on all the numbers here, and Pierre will talk a little bit more about that in the financial part. Also, sales were more or less flat compared to last year, around SEK 2 billion. And we had a decline in 3 divisions, so Pattern Generators, PCB Assembly Solutions, and also in the High Volume division. And then we had a quite good growth in the Global Technologies division that almost fully compensated for that difference, so being flat in total compared to the year before. EBIT also declined SEK 342 million, which is a margin of 17%. Backlog more or less flat at SEK 4.7 billion, which is a good and healthy backlog, I would say. And also the Board of Directors will propose to make a dividend of SEK 3.25 per share, which is a little bit of an increase from before, and no extra dividend as we did in last year. We made a small acquisition after the end of the period, a company called ETZ. That's a supplier of critical components for our PCB test business line. So it will not have a large impact on the numbers, but it will really reinforce our quality of the supply chain. So quite an important acquisition for us. So going into the different divisions, starting with Pattern Generators. We could see that the markets were stable, I mean, and even positive. The semiconductor photomask market has shown positive development. I think you can read it by also in the reports from peers that it's mainly driven from applications related to AI. On the display photomask side market, we see that stable as usual, a little bit irregular, but stable nevertheless. And we saw a decrease then of order intake down to SEK 545 million, and this has to be compared to a super strong quarter in 2024. We had 5 machines on order, or we got orders for 5 machines, 1 display mask writer, Prexision 8 Evo, FPS 6100 Evo, and also 3 SLX mask writers for the semicon industry. Sales down to SEK 577 million. We delivered 6 equipment, and this is 18% down. One display mask writer, Prexision 8 Evo, 1 FPS 6100, and 4 SLX. So quite similar to the order intake, actually, but it's not the same equipment. Gross margin, 58%, which is good, stable around that level, and EBIT SEK 173 million. Backlog is a bit down to SEK 2.6 billion. So as we said, the total company backlog was flat, and you can understand that the backlog has increased in the other divisions. So we have 18 systems in the backlog as per end of the year. And after the period this year, we also received orders for Prexision 8 Evo and MMX. You can also see that in the headline, we talk about continued R&D investments, and we do increase R&D investments. We develop new products to offer more equipment to our current customer base, and that kind of equipment is in the inspection technology area. So we will launch at the end of this year, a range of inspection machines for the semiconductor photomask market, which are ramping up right now, both in R&D investments, but also we are preparing space for the production for that. So quite a big -- quite a large project for us. On PCB Assembly Solutions, we have talked before about the difficult market, and this continues to be difficult, especially the European market. We have seen positive trend in Asia. and also U.S., but Asia is not so large for us for the PCB assembly solutions. So -- and the U.S. market has been stable, but European market has continued to be very, very weak. Every second year, there's a large show in Munich called Productronica, where we and our peers in the business normally introduce new products, and we had 2 large introductions there, GenAI, which is an AI-enabled inspection machine, and MYPro A41, which is a continuation of our pick and place series. Order intake down SEK 362 million, which is 7%, also sales down 10% to SEK 438 million, gross margin at 40%, okay, and EBIT down to SEK 60 million. Backlog, SEK 147 million, which is quite okay, but still a difficult market in this division. On the high-volume side, also participated on the Productronica Show, the large part of our strategy in the high volume is to expand sales outside of China. So very important to be present at those shows outside of China. We have also decided to put the listing. Some years ago, we announced that we are contemplating investigating the possibility to list Axon on the China Stock Exchange, and this is put on hold right now. That listing would have contained also an investment program for employees. So as that is not happening, we have launched what is called an ESOP program, which is employee share ownership participation program. So that is just launched. We also opened a new facility for production in Thailand to be able to supply machines not made in China, which is to be more flexible in this restricted world that we live in today from place of origin of manufacturing. Order intake was down 30% to SEK 271 million. Sales was very strong at SEK 448 million, still a little bit less than the year before. Gross margin, 41%, a good margin, and EBIT SEK 55 million. And in this SEK 55 million, there is a bit of plus and minuses. We have a cost of this share ownership program of minus SEK 23 million, and then we had a positive impact of provisions for personnel that was made, that contributed to SEK 30 million. Backlog, SEK 683 million, which is quite good or normal, I would say. So all good there. Global Technologies. Here, we see a very strong development as many companies now in these days report that it's driven by AI-related applications, and we have the same. This is in particular notable for our PCB test and also the die bonding business line. And also, we have some acquisitions, of course, supporting all that. So order intake up almost 70% to SEK 773 million and sales up 41% to SEK 570 million. And you can see the sales contribution from acquired businesses, which is Hprobe, RoBAT, and Surfx, SEK 131 million, but still a very strong development there. Very solid gross margin at 45%, EBIT, SEK 118 million, and some negative impact from the recently acquired businesses of minus SEK 6 million, and a very strong backlog of almost SEK 1.3 billion. So very good development in this division and an EBIT margin of 21% in the quarter. And as I said before, we also had acquired this very small company, ETZ, which will not really be -- have a lot of impact on the numbers, but really will solidify our supply chain for the PCB test business line. So all that, we believe that we will continue to grow the business. And this year, we see that an outlook now, which still almost 12 months to go of -- or at least 11 to reach SEK 8.25 billion in sales. All right. Now I hand over to Pierre to talk more about finances.
Pierre Brorsson: Yes. Good morning from my side as well, and we will do a little bit deeper review of the numbers. Starting with this graph displaying the quarterly numbers, and we reached just above SEK 2 billion in sales. And this is compared to last year, a small decline of 2%, but it's really a volume increase. It's both organic and inorganic growth, and 11% negative currency impact. And this currency impact is even bigger on the order side because there you also revalue the orders on hand. So very significant impact of the currencies in the quarter and also throughout the year. The aftermarket revenue, we exceeded SEK 500 million. So we are approaching SEK 2 billion on an annual basis. This is a good number. However, for the first time since 2021, we were not sequentially growing on the -- towards the same quarter last year. So we were slightly below the good quarter of 2024, mainly related to that we, at that time, had some upgrades in the Pattern Generators division, which we could not fully compensate for this year. EBIT margin, 17%, a solid number, a bit high on the OpEx side, but really, according to the plans that we have made and how we want to develop the company going forward. If we look at it on an annual basis, we ended the year just below the SEK 8 billion with an EBIT margin on 24%, good level. Aftermarket revenue, as I mentioned, we are approaching the SEK 2 billion, which is then constituting 25% of the net sales, and continuously growing this part. So we will see fluctuations on the equipment side, but the aftermarket revenue is important to continuously gradually build and grow, which we are doing at this point in time. We go a little bit deeper into the costing details and the different parts of the income statement, comparing quarter-on-quarter. And this may look as a less positive staircase, but it's really largely according to plan. We had a little bit lower sales in the Pattern Generators division as a share of the total in the quarter. And thereby, we have a small negative gross margin effect. On the R&D side, Anders alluded to that we are continuing to spend at high pace and in very relevant projects, particularly in the Pattern Generators, but we also have an organic increase of the R&D spend in the high-volume division. In that division, in the High Volume division, we are also expanding the footprint in particularly outside China, and this drives a bit the marketing and sales cost. Here, we also have -- when we compare the numbers versus the prior year, we also have the newly acquired entities adding to all the cost categories here and also the acquisition-related costs and in particular, the retention mechanism for the Surfx acquisition that is running over 6 months, which will end now in the fourth quarter, which is affecting the numbers a bit. About SEK 10 million net impact of the China ESOP versus the provision release as well. If we look at the 2025 full-year bridge, we can see that we have been growing throughout the year despite the currency headwind that we have had. And in several of the divisions, we have also improved the gross margin, in particular, in the Global Technologies division, which we are very happy about. We have decided to do investments on the R&D side and on the marketing and sales side in order to set the company for the future and to create the organic growth that we want to have sustainably going forward. We have also a bit higher acquisition-related costs and transaction costs this year compared to the prior year. And in this other column that you see there, we have the net -- mainly the net effect of the FX realized and unrealized exchange differences. Ending the year at a solid SEK 1,940 million, which is 24% in relation to sales. Division by division, if we cut it that way, we have said that we had a little bit lower sales and also lower margin and higher R&D in Pattern Generators, and this is really the main explanation for the relatively lower EBIT in the fourth quarter. We had last year record quarter in PCB Assembly Solutions and in High Volume. We could not fully match that this year, but particularly for PCB Assembly Solutions, we had the best quarter of the year in the fourth quarter. It's normally that way, but I think it's also fair to say that it's not a bad level, it's a good level. In High Volume, we had a little bit slower ending of a solid year, and it looks quite good going into 2026 as well there. Global Technologies, really good despite not getting contribution yet from the acquired entities, delivering 20% or about 20% EBIT margin in the quarter, taking us to a total of 17% or SEK 342 million in the quarter. Looking at the full year, we were slightly lower than last year in Pattern Generators, mainly related to the R&D investments. The number for PCB Assembly Solutions is, of course, a bit bigger in relation to the baseline. So we did not reach what we wanted to reach in a tough market where we had our largest markets, Europe, having a negative economy, and U.S. having a bit of a difficult investment climate with tariffs, as well as the headwind from currencies. High Volume and Global Technologies on track and for Global Technologies, even exceeding the plans we've made. And here, you see on the group functions that we have, and this is largely transaction-related costs that has increased over this period of time. Ending the year on, as we said, 24% or SEK 1940. Cash flow-wise, it's all natural in relation to the activities we have conducted and the situation on the P&L, plus the acquisitions and the dividends that has been paid out. Maybe noteworthy is that we have about SEK 200 million less good change in working capital, and this is largely that we have a lower order stock in the Pattern Generators, where we have a significant portion of advanced payments from customers. We have almost spent SEK 1 billion in the acquisitions we have done during the year. Still at a position where we can be active in the M&A market and with SEK 2.3 billion net -- sorry, with SEK 2.3 billion cash and additionally facilities in place of SEK 2 billion. And with that, I hand the word back to Anders.
Anders Lindqvist: Thank you, Pierre. And let's continue. So as usual, a few words on sustainability. And first, I want to talk about diversity, where we make some nice progress. We -- and especially on the share of women in the workforce as both in the workforce as also in the different managerial roles. And we could see that very notable, the Pattern Generators division had a good rise in the female representation from 19% to 22%. And also that in our annual employee engagement survey, we could see that diversity and inclusion is having now the highest rate topic of them all. So positive development on that. On other parts of sustainability, we had training for sales representatives in this and also purchasing managers that participated in different seminars to strengthening the due diligence that we do in our supply chain. So with that, Sven, over to question and answers.
Sven Chetkovich: Thank you, Anders, and thank you, Pierre. And today, we will start with Handelsbanken and Fredrik Lithell.
Fredrik Lithell: I'm going to keep it to 2 questions now. Maybe we could get a little bit elaboration on the outlook, the SEK 8.25 billion Pariff, what U.S. dollars are based on? And if this includes or do not include Cowin in Korea. And at the same time, maybe an update on the Cowin acquisition. The second question is you talk about the investments that you expand organization, increasing your TAM. You now also elaborate on that you will launch machines towards the end of this year. It would be very interesting to hear you talk more about that to the extent you can, of course, Anders. Always interested to hear about machines.
Anders Lindqvist: Okay. If I start then with the bit the outlook. The outlook is based on all we know now, which means the current exchange rates as they stand today. We also believe that we will have a small contribution from Cowin, which we believe will be closed towards the end of the first quarter. This will not have a dramatic impact on the sales for this year, but we do believe a limited contribution from Cowin.
Pierre Brorsson: And yes, regarding the new products, so this is super exciting. And as you understand, this is something we have been working on for a while. So you have seen that we have increased R&D spend over the time. We have also increased manufacturing availability by moving out the division in our main production facility to make space for this new equipment. So this is inspection equipment for photomask for semiconductor, and it can inspect the quality of a full mask, not only the pattern, but also the defects from particles and contamination and so on. We will come into an environment with competitions from very capable partners here. It will be mainly companies like Laser Tech and KLA. The size of the market we see is quite -- everything is quite equal to SLX actually. So the size of the market is the same, we believe, the available market for us, like SEK 1 billion. We believe also that the price of the machine will be in a similar range, something between from $4 million up to $10 per equipment. We have, of course, an ambition to take a part of that share, but we do have very capable competitors here, as we have in the laser-based mas writers as well. So this is super exciting. Launch will be to the end of this year. And we believe that the first revenues will be visible first 2027, really, where you can start to count on that. But we will have this year a further increase of R&D spend a little bit more than what we currently do, and most likely peak out during this year. So it's a lot of cost and no revenue so far, but we believe very much in this.
Fredrik Lithell: I mean I'm intrigued by that you sort of explained it so explicitly already, now 11 months before you will launch it, giving your competitors some time to think about it. Do you bring any new type of technology angle into this? Is it something you could talk about?
Pierre Brorsson: All of the players here have a little bit of differentiation between how they do and how they compare patents, either you compare it to other masks, or you compare it to the drawings and so on. So we believe that we will have a unique position. We will also have the benefit of also being able to sell the mask writers. And the combination of this is given an additional value actually, which the others don't have where we can use data from both equipments to kind of optimize the whole solution there. So no, of course, we believe that we have something better, but exactly how and what I think we will need to come back a little bit later in the year, really on the features and benefits and all the nice stuff.
Sven Chetkovich: Thank you, Fredrik. And now we move over to SEB and Ina Djupsund.
Ina Djupsund: I have a question on pricing and kind of assuming FX is where it is now, how important of a growth driver will price be? And is it any particular division where price hikes play a bigger role?
Pierre Brorsson: Price is, of course, very important in all divisions. And I think everywhere where we can offer quite a large degree of differentiation, we are able to keep the prices quite high. But we don't really see any change in price pressure or so. We see, of course, a little bit an effect in the PCB Assembly Solutions divisions where we have the tariffs adding cost for customers, which we not always can transfer fully to the customer for different reasons. And so there can be a small decline. But otherwise, we keep pricing on everywhere and even increase where we can. And we have seen that the demand for some products in Global Technologies are extremely high, and that's, of course, an opportunity to be a little bit more stiff on the pricing.
Ina Djupsund: And how is capacity utilization, if we look at next year, I think there's a little bit fewer deliveries for PG in H2. How do you kind of approach that?
Pierre Brorsson: Yes. And we can still fill a bit of that, I think. So -- and we have been maybe producing more than we could in the past time. So I think that it's good for the production facility. But we're also expanding production for the PG division also to be able to -- not only actually for this inspection machine, but also for the other product lines to make that more efficient. So I think we have sufficient capacity there. We face a little bit on the PCB test in the Global Technologies, where we have an extremely high demand. And last year, we built a new factory inaugurated that in January last year, and we are already making the first extension of that to meet this increased demand. So to be able to supply. We deliver double as much as equipment as we did 2 years ago. So high pressure on production there. And also then in high volume, we expand by adding additional production site, as mentioned in Thailand now. So yes.
Ina Djupsund: And within PG, do you think you can still take orders that can be delivered in 2026 as well?
Pierre Brorsson: It depends on configuration and model, but theoretically or practically as well.
Anders Lindqvist: On the semicon side, we could definitely get something towards the back end of the year, yes.
Sven Chetkovich: Thank you, Ina. And now we move over to ABG [ Sundal Collier and Henrik ].
Unknown Analyst: So about the employee stock option program in Axon, I was just wondering if you could give us a bit more detail on the reasoning behind that and if it's a one-off thing here or if you will keep offering programs like this over time after this one is done.
Anders Lindqvist: I can start and then you can add. Yes. So this is the first. And the IPO that we were investigating should have had an investment program built into it. So now the IPO is on hold. We still want to offer an investment program. And the reason for that is that China is extremely competitive when it comes to talent, both to retain and to attract, but also to engage and to drive performance. So we believe that this is a very good way to fulfill that to really keep the engagement, the performance of people, attract the best talent, and retain our good people. So that is the motivation behind that, this program is the first one, and it's larger. We will, like a normal company, launch this every 2, every 3 years, something like that in a sequence with a duration of a similar time between 3 and 5 years. And -- but the first one now is larger than the coming because of that we didn't have a program during this investigation period of the IPO. But it will have a bit of cost last year, this year, and next year as well. Pierre can explain a little bit more on that side, but it will -- but first of all, it should have a large benefit also, of course, of driving value and driving engagement and performance in the business. And it is a co-ownership program. So the -- and it's quite broad. We have invited 120 people. So it's a broad program, and we have 100% almost participation. So there's a big willingness to do this. And most China companies either have this kind of program or ownership through real shares on the stock market. So we believe that it's very good to stay competitive in the talent market.
Unknown Analyst: Okay. Secondly, on Global Technologies, the margin here in the quarter was quite a bit stronger than at least I had expected. So I was just wondering if you could give us any more details regarding how we should think about that and the margin going into 2026.
Pierre Brorsson: I think we have 2 larger portions that we've been owning for some time within Global Technologies. Both are benefiting from AI-driven demand in the background, and this trickles down to us who do equipment for various parts of this chain. With this demand, we have seen good increases in sales, and we have also been able to improve the margins in this existing business. And then we have added acquired businesses, which are profitably sound as a stand-alone entities. We have been suffering a little bit this year because we have had extraordinary acquisition-related costs. But we see good growth prospects and solid profitability in line with the group targets of the 20% that we see for Global Technologies specifically. I think it's perfectly realistic to believe.
Sven Chetkovich: Thank you, Henrik. And now over to Nordea and Anders Akerblom.
Anders Akerblom: So firstly, I was wondering a bit on display. We saw recently in Samsung's Q4 report that they were discussing the recent memory price surge is impacting display shipments. What's your view on this?
Anders Lindqvist: Our view is -- I mean, we -- the link between photomask and price and so on display is quite far, I would say. So we don't -- we haven't seen any change in the willingness to invest in photomask. We still have the growth drivers on the display side, being the area driven by new applications, mainly. We have also the layer and the complexity of the displays driven by new applications as well as new technology such as OLED and so on. So I think those -- the price changes and the supply and demand of memory and other components is more short -- has a more short-term impact on the end customer business, I would say. So from our side, we don't see any change, and we haven't seen any change in demand either.
Anders Akerblom: I guess I was hinting a bit towards in your customer discussions, do you think that, that might drive a mix accretion towards a higher proportion of OLED compared to LCD so that OEMs can maybe absorb that cost inflation to a greater extent?
Anders Lindqvist: I think it's typical in the display industry that when demand is lower, they need to invest in technology to create demand and create and launch new features and so on. And I think that is still valid. But we also see quite a lot of new -- this mix of technologies where you have OLED, you have microLED, you have other types, you have the transparent displays curve, foldable phones, all that requiring more advanced production methods of displays and in most cases, more layers that are -- that need photomasks to be produced.
Anders Akerblom: And just a final question. I sense your wording in terms of the semi market outlook in PG is incrementally more positive compared to Q3. I mean we've seen some developments during the quarter with TSMC and others raising targets, but kind of what underpins this more specifically?
Anders Lindqvist: I think you can see in different reports also that the semicon industry is forecast to start growing on a quite high level and very much driven to various types of AI. But also what we have seen in the past was China kind of standing out being driving a lot of demand, and now we see a lot of demand created in other places, more kind of a more balanced approach. We can see that all those projects in the U.S. are moving forward. We also see the European projects moving forward, but also in Singapore, other places, India is gearing up and want to have their own capability domestic for semiconductor and so on. So I think, yes, all that together, I think, shows that the semicon market will be good. And at some point in time, that should be good for us as well.
Sven Chetkovich: Thank you, Anders. And now we go from Stockholm to London and Oliver Wong at Bank of America.
Oliver Wong: First question is on the semi mask writers. Just curious about what you guys are seeing in terms of demand from China, in terms of demand from the non-Chinese companies that may or may not be replacing -- either replacing their old machines or not doing anything or kind of upgrading with their existing machines from the incumbent supplier. Yes, just kind of curious what you're seeing there relative to maybe this time last year.
Anders Lindqvist: Yes. So China is a difference. So we saw at this time last year, we had a very strong and also had before that quite big demand from China from domestic mask manufacturers, which is less. We still have demand from China. So I think it has more maybe normalized. It was maybe more than normal in the past time. But we do see, at the same time, a pickup from the other people where everyone wants to position themselves very good. China -- and China still should be -- have a huge potential for mask writers because the domestic mask production in China compared to what is used, it's still quite low. So there's -- if China would go for 100% in China for China production on mask that would require a lot more machines than what you already have. And that's maybe a theoretical thinking. But anyway, you can see that the potential is still there. Otherwise, we see potential everyone wants to make more capable masks and so on also in more places. So we have we could see all the new factories building up, and the mass production facilities is most likely to happen in the neighborhood of those. So that compensates for the peak in China that we had, hopefully.
Oliver Wong: So it sounds like it's kind of more new fabs where they're kind of buying new equipment and they're going with you, versus kind of existing fabs where they're replacing old machines.
Anders Lindqvist: Yes, I think that will be a mix because I think existing fabs will also be upgraded, both capacity and capability. So that's going on, and we've seen that. So that's absolutely.
Oliver Wong: And then in terms of margins for next year, I was wondering if you could just talk through kind of the big moving parts, just to give us a sense of how to expect margins to trend next year?
Anders Lindqvist: We typically don't really guide on margins. We have -- what we have issued is that we expect everything we own to be double-digit EBIT margin. This is a base expectation on all divisions we have and all the business lines that we have. And then as a group, we should be consistently above 20%, which we have been now for some time. And then on the Pattern Generators, I think is -- you can make the estimates by looking at the backlog and the aftermarket. And then here, we will continue to invest in R&D slightly above the level we have done this year. So I think that gives you a little bit of guidance on where we will end.
Sven Chetkovich: Thank you, Oliver. And now we go back to Fredrik Lithell at Handelsbanken to see if you have any further questions.
Fredrik Lithell: Thank you very much. Pierre, in your prepared remarks, you talked about the aftermarket revenue and elaborated a little bit on that. You said you had a few more upgrades in 2024, for example, than you did have towards the end of this year. Can you put some more color on this? Can you sort of give us a range of what value we talk about and how much it came down? Is it software? Or is it -- what's in that would be interesting.
Pierre Brorsson: It's software upgrades and it can be laser upgrades as well in that. And as you see, we were a notch below the same quarter last year. So I still had to explain why we, for the first time in 5 years, could not continue to grow really. It's not a game-changing amount that differs on this.
Fredrik Lithell: Okay. That's perfect. Another question is the -- I mean, you have quite distinct FX headwinds right now and your position on the Prexision side being the only vendor, do you update your price plans every year? Or do you intend to update your prices and compensate for FX?
Pierre Brorsson: Basically, the pricing for the Prexision, it's a dollar market. It's a dollar baseline. Of course, when we deliver a new machine, new features that comes in at a different level. It's very hard to say, okay, now the dollar went down 20%, we need to increase the price in dollars with 20% that would distort the competitive landscape among our customers, given our strong position.
Sven Chetkovich: Thank you, Fredrik. And now we go to SEB and Ina Djupsund to see if you have any further questions.
Ina Djupsund: I have one kind of high-level question. So which division do you expect to contribute most to growth in 2026? And where do you see kind of tough comparison going into next year?
Anders Lindqvist: I think in general, I think we are -- you have seen the development in Global Technologies, and I think you can see also the backlog and the order intake in relation to the sales. So it's quite natural to believe that this will continue to contribute. And as Pierre said, the margins are also good in this division now. So that will be a good contribution. I think we'll still have a headwind on the market for PCB assembly systems for a while that even though the show in Munich last year had generated a lot of leads, but there's also a lot of hope in the market. So I think this will still be a struggle a little bit for us. Do you want to comment more on that?
Pierre Brorsson: I think we see -- we do expect also High Volume to perform very well going into -- we see very high interest from various markets in the products, and we start to get some maturity also outside China in what we do. So I think those 2 divisions are probably the main growth engines for this year.
Anders Lindqvist: And on the Pattern Generators, you can see they have the backlog described, and that's going normally according to plan. We have had changes in deliveries, but they have all been driven by customer demand, a little bit, but no significant difference, and nothing that is moving out of the year. And as Pierre said, this will be a year of investing really in the final part of this new product program that we are launching. And there, you see we will start the year strong. You see the deliveries in the first half of the year. So it will be a strong start. And should there be some semicon equipment coming in towards the back end, that will also be supportive to pattern generators.
Sven Chetkovich: Thank you, Ina. And now we move over to ABG Sundal Collier. And Henrik, do you have any further questions, Henrik? I think all my questions have been answered. Thank you. Great. So then we move over to Anders Akerblom at Nordea to see if you have any further questions.
Anders Akerblom: I always do. Just a final one on Global Technologies. I mean we've adjusted for acquisition-related costs, you've performed in the 2 most recent quarters at 30% margin level. And I know you don't like to guide on margins. I don't mean to put you on the spot, but you're saying that all divisions you want to have above 20% margin. I don't think one should interpret that as you expecting margins to trend down in GT from the current level into next year, particularly with the accretive contribution from Surfx. Is that a correct assessment?
Anders Lindqvist: Yes. I think you can look at the past quarters and take out the acquisition-related costs, and look into the future.
Pierre Brorsson: There was nothing in the last 2 quarters that contributed more positively than expected. So it kind of was normal, I would say.
Sven Chetkovich: Thank you, Anders. And now back to London again, and Oliver Wong, Bank of America. Do you have any further questions?
Oliver Wong: Yes. Maybe just a question on the new inspection tools. You shared a TAM projection. That's helpful. Maybe like roughly, if you could give a sense of what kind of market share do you think would be a good sort of achievable target for next year and kind of the years to come?
Anders Lindqvist: I think it's maybe a little bit early to talk. We will come with a much more detailed information closer to the launch. So I think we have that planned to the second half of this year. But we believe that this market looks very much similar to the SLX market for us, size, price, and so on market share. We do have very capable competitors here. So -- and we do have some benefits. So it's -- we don't really have a point of view that we can share right now on how much. But of course, we spend a lot of money in doing this, so we expect a good return, of course.
Sven Chetkovich: Thank you, Oliver. Well, with that, we have reached the end of today's presentation of Mycronic's Q4 report. Thank you very much for watching.